Operator: Thank you for standing by. My name is Alex, and I will be your conference operator today. At this time, I would like to welcome everyone to the Orezone Gold Corporation Q1 2025 Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Patrick Downey, President and CEO. Please go ahead.
Patrick Downey: Thank you, operator, and thank you, everyone, and welcome to the Orezone Q1 webcast and conference call. With me today, I have Peter Tam, Executive Vice President and CFO. We have the standard forward-looking statements. Please acquaint yourselves with these. So Q1 was a very solid first quarter and really sets us on a firm footing for a very important transition year for Orezone. Our gold production for the quarter was 28,688 ounces, which leaves us on track to achieve our 2025 guidance of 115,000 to 130,000 ounces a year, which as we stated will be slightly weighted towards Q4 of this year. Gold sales were 28,942 ounces at an average realized price of $2,851 per ounce, giving us revenue of $83 million for the quarter. Our all in sustaining costs were $1,415 dollars per ounce sold, which again leads us on track to achieve our 2025 guidance of between $1,400 to $1,500 per ounce AISC. We're in a very strong and solid financial position. Our cash is $102 million. We have senior undrawn debt of $28.9 million available and gives us a total available liquidity of $130.9 million. Our hard rock expansion is tracking on schedule on budget for the commissioning of this stage one in Q4 of 2025. During the quarter, we also had zero LTIs over 1.4 million hours worked during the quarter and we actually achieved 20 million hours of work for LTI-free. Sadly and unfortunately we had a fatality in May at the Stage 1 construction site which is still under investigation. I'll now hand it over to Peter.
Peter Tam: Thanks, Patrick. So for financial and operating highlights, Q1 marked another successful quarter of positive financial results with gold production and cost performance in line with our expectations, while revenue benefited from a favorable gold price and un-hedged sales. Earnings on mine operations were $38.6 million. Net earnings after minority interest were $16 million and earnings per share attributable to Orezone shareholders were $0.03 per share on a basic and diluted basis. Importantly, free cash flow was $3.7 million as strong operating cash flow balanced the higher capital expenditures on the hard rock expansion construction. Our balance sheet further improved in the quarter with available liquidity at March 31st increasing to $131 million, as stated earlier with $102 million of cash on hand and $29 million remaining undrawn on our Phase 2 term loan with Chorus Bank. The company is well positioned financially to complete its major growth projects for 2025. Next slide. The tons mine exceeded 6.1 million for Q1 2025 at a strip ratio of 1.9x. Higher material movement in the current quarter was due to dry season mining conditions and a greater proportion of tons mined from the Sega pits, which have a shorter-than-average haul profile with mining currently concentrated on the soft oxide material on the upper benches. Furthermore, mining volumes are still benefiting from the higher availability of the new mining equipment placed into service by the mining contractor in the fourth quarter of 2024. Plant throughput was at a respectable 1.5 million tonnes, which was 11% higher than the comparable quarter in 2024. In Q1 2024, plant operating hours were impacted by the commissioning of grid power to site and from more frequent power interruptions experienced in March. In addition, since July 2024, the plant has successfully operated at a higher hourly plant throughput by increasing mill power draw and reducing the leach residence time. In terms of unit cost, unit mining cost for Q1 2025 was lower than when compared to Q1 2024 as mining costs were aided by less drilling glass, shorter than average hauls and a favorable XOS exchange rate as mining contractor rates are based on the local currency. Unit processing costs benefited from the availability of lower cost grid power for the full three months of Q1 2025 versus only a partial quarter in Q1 2024. I'll hand that back to you, Patrick.
Patrick Downey: Thank you, Peter. So overall 2025, we got off to a very solid start. Our 2025 guidance production of 115,000 to 120,000 ounces. We achieved 28,688 for the quarter so it leaves us well on track for our gold production guidance. Our all in sustaining costs as we stated of between $1,400 to $1,500 in Q1 was right bang in there. Sustaining capital, we have a guidance of $9 million to $10 million of which we spent $3.2 million in Q1, slightly front end loaded in Q1 with the tailings during the dry season, tailings expansions. Our growth capital of 44 to 51, which is really focused on the permanent backup diesel power plant at tailings footprint expansion and resettlement action plan. We spent 7.7. It again will be essentially loaded in the second half of the year, and we'll show some photographs of that later on in the presentation. And as I stated, Stage 1 hard rock capital expansion, we spent $19 million. We've now spent $34 million of the total budget of $90 million to $95 million. So our guidance for 2025 were well within that. We expect to achieve that around $75 million to $80 million target for 2025 and be up and running in Q4. So 2025 is really a significant transition year. We've been operating the oxide mill for over two-and-a-half years now very successfully. We're now in ramping into the construction of the Stage 1 hard rock with 2.5 million tonnes per annum. Construction is well underway, commissioning in Q4. Production from the combined hard rock and oxide exiting 2025 will be 170,000 to 180,000 ounces a year. We had originally intended to fill the Stage 2 hard rock in 2028 coming online in 2029, but with a strong gold prices and our strong financial position et cetera. We will now look to start that in 2025 being constructed in 2026 and being up and running in Q4 of 2026. We expect a full announcement on that in later in Q2 or early Q3. That would bring our production to 220,000 to 250,000 ounces with extremely robust cash flows and all in sustaining costs going forward and would leave us with one of the largest single asset mining companies in West Africa after Stage 2 completion. And again, I'll walk you through that a little bit more detail in the presentation. So Stage 1, well in hand, fully financed as Peter said, budgeted CapEx of $90 million to $95 million. In total we expect to easily achieve that. We're ahead of schedule and on budget. Engineering remains ahead of schedule. We keep pushing that. Our equipment and material procurement is now complete. The jaw crusher mill foundations are well advanced. The mill is on-site. The mill installation is expected to commence in early June. We will mobilize the mill contractor in late May, installation contractor. The CIL tank installation is progressing with three tanks now fully complete and the other two well in hand, TSF expansion well in hand. Photographs will tell the story. You can see the oxide plant in the background with the Stage 1 in the foreground. Photograph two is the largest pour we have on the facility, which is the jaw crusher and wing walls of the dump pocket. We'll be complete that late May, early June. The tanks are concrete complete, three fully erected, two well in hand. We start erecting structural steel work on top of that in June. The ball mill foundations are almost complete and we expect to start erecting the mill which is on-site in June. All of the major steel work is either at the port or on the boat. A lot of the equipment is starting to come to site now. We don't see any critical schedule issues going forward from here on in. It's really steady as it goes to get it up and running by Q4 of this year. To wrap, BB2 construction progress as you can see well in hand, I just want to say that, all of our construction management scheduling, cost control et cetera is done by our team for this, for the tailings, for the stage one and stage two will be done by our team. We have full control of all of this. We don't put it out to consultants or contractors and we really know how to execute on this. We've built over 3,700 buildings including houses, churches, mosques, clinics, schools, convention centers et cetera. We're very proud of this. It's extremely well received by the local communities and this is going extremely well at BB2 as you can see from these photographs. So Stage 2, originally we had this design for 5 million tonnes per annum but with optimization based on what we've learned on what we're doing et cetera, it will actually be a 5.5 million tonnes per annum throughput rate. Production 220,000 to 250,000 ounces per year on average. So what does it take? It's four additional CIL tanks which are exactly the same size, diameter, height as the existing ones we're building, same type of tank steel work, same agitators et cetera. A ball mill which we've now identified with our consultants and we will likely place an order for that early in Q3. So that's already identified for the project. A thickener and a water tank with some obviously some pumps et cetera. An oxygen plant which we will buy, purchase this quarter. We have already got that funds in hand to do that. We don't necessarily need it for Stage one, but it's a long lead item and we will use it in Stage 1. But, it really gets us ahead of the game for Stage 2 and some gold room expansion with an [indiscernible] column and acid wash column and some electro winning sales small sort of equipment items. We're well in hand with the estimate on that. I expect to present something to the Board by the May. I expect no surprises something in the region of $95 million. We've gone through the schedule with our team on-site with the Lycopodium team, with the equipment vendors. So providing we get the go ahead in early Q3, we would have that up and running in Q4 of 2026. So very exciting for us. We're really ready to go on this. The front end, which is the jaw crusher, all that front end is already designed for the full throughput. So it's really getting those pieces of equipment ordered and getting the design and the construction going, so we can keep the contractors on-site and really ramp up this construction in 2026. So Q1, a very solid start to the year in terms of production and cost and progress on the plant. Sets us up for our transformational year in 2025. The hard rock expansion will be up and running by the end of the year, Stage 1. As you know, we are advancing an ASX secondary listing that should be up on the goal by mid-2025, Increase our trading liquidity. We already see that in the stock. We're trading much better in terms of the amount of shares we trade et cetera and our share price, since we've been advancing that. We did a recent financing to accelerate Stage 2 and now approximately 14% of our issued is now down in Australian hands and trading very well. Our renewed focus on exploration, we've had some new team down there. We've had some bottlenecks with assays etcetera, but I'm very excited what we're seeing. We expect to issue some results on that very soon. We've now identified some new targets which we'll be excited to reveal to the market. So that was on the goal. We expect to ramp that up as we get our team in place of new exploration management down there. He has been working on streamlining the processes etcetera, but we expect to ramp up our exploration, have a lot of results throughout the year. So the thesis is really holding together for us in terms of the size of the project and the targets that we see in the project. So expect to see some results here in the coming weeks. So that's it. I'll hand it back to the operator and for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of John [indiscernible] with Private Investor. Please go ahead.
Unidentified Analyst: Patrick, on the mining and process costs significantly better, do you anticipate to keep that level going forward?
Patrick Downey: I would expect that the processing cost, yes. So, the mining cost goes up and down with strip ratio obviously and depth within the pit and the type of rock we're mining. So when we're in the softer oxides, we use less drill and blast or sometimes zero drill and blast. And obviously you're mining from near surface. And as you go from the various pits, you've got different haul distances. So that goes up and down. But generally I would expect it would be probably around three something a tonne depending on the ratio.
Peter Tam: John, just on Q1, I would say it's abnormally low. We're under $3 a tonne that isn't going to always be the case every quarter. So as Patrick pointed out, some of the factors that led to the low unit mining costs. Also as I stated in my prepared remarks, we did have a favorable local currency exchange rate that has sort of reversed course now in April and into May here. So I would say next quarter, I would expect unit mining costs to be more normalized to what we saw maybe closer to what we had in 2024.
Unidentified Analyst: So regarding the Australian listing, has all the paperwork been submitted and you're just waiting for them to process it?
Patrick Downey: I don't think all the paperwork has been submitted, but maybe I'll hand it over to my EVP, Ryan Goodman here. He will really answer that. He's been on the forefront of that. Ryan?
Ryan Goodman: Yes, John. Substantially all the paperwork is done and we're just going through the processes right now. It's a bit of a time-consuming process, but we don't anticipate any hiccups along the way. So we're just -- it's just due process at this time.
Patrick Downey: Yes, our work is done, our finances are in, all of the various other picture it is and through the sausage machine, I would say, of the ASX.
Unidentified Analyst: Right. So one more question. I know years ago, I asked you, Patrick, whether you considered hedging the gold and given that it's quite volatile, is there any consideration to that?
Patrick Downey: No. I've never hedge an ounce in my career. I'm not a gold bug per se, but really if you're an investor in gold, we're not -- we've got all the money we need for the expansions. We're in very, very good financial shape. Sometimes you might hedge gold. I've never done it, but when you don't believe in your capital cost and you want to protect certain things, I think we've been extremely good in terms of our capital cost and our schedule. I think our record goes back right back into the 1990s about building mines. This team has been with me for a long time. I like to see as a goal investor that you're un-hedged and you're up there. We did take some puts in the year. So we bought some puts quite good value just to protect the downside at some point, but we leave the outside completely open.
Operator: [Operator Instructions] Since there are no questions asked, that concludes our Q&A session. I will now turn the conference back over to Mr. Patrick Downey, President and CEO for closing remarks.
Patrick Downey: Thank you very much. As I just reiterate, Q1 very solid quarter for us in terms of production and cost and progress on the projects both Stage 1 and Stage 2. We've done a lot of work in Stage 2 in terms of getting the capital cost estimate, the equipment etcetera well in line to make a decision late Q2, early Q3. Very much looking forward to that. Exploration, as I said, we've just been working through a few bugs with some of the third-party labs et cetera, but that's now sort of worked through. So I expect that we'll see have a lot of exploration results going forward in the year and a very exciting year for us going to be starting up Stage 1 in Q4, getting it ramped up by the end of the year. So, yes, very, very exciting year for Orezone going into 2025, 2026.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.